Operator: Welcome to the Integra LifeSciences Second Quarter Financial Reporting Conference Call. As a reminder, today's call is being recorded. At this time, I would like to turn the call over to Ms. Angela Steinway, Head of Investor Relations. Please go ahead.
Angela Steinway: Thank you, Lauren. Good morning and thank you for joining the Integra LifeSciences second quarter 2015 earnings results conference call. Joining me today are Pete Arduini, President and Chief Executive Officer; and Glenn Coleman, Chief Financial Officer. Earlier this morning, we issued a press release announcing our second quarter 2015 financial results and updated 2015 guidance. We also posted a presentation on our website which we will reference during the call today. You can find this presentation at www.Integralife.com under Investors, Events and Presentations in a file named Second quarter Earnings Call Presentation. If you would open that file up to slide 2, please reference our safe harbor statement covering the forward-looking statements we will make on today's call. As well, please reference the reconciliations of non-GAAP financial measures at the end of the presentation, beginning on slide 17. Turning to slide 3, I will point out a few nuances in our reporting and guidance for the call today. The SeaSpine spinoff was completed on July 1, 2015 and therefore, beginning with our third-quarter results, Integra's financials will be reported on a continuing operations basis excluding the Spine business for the full year, since all historical financial results for this business segment will be reclassified and reported in discontinued operations. All of our forward-looking statements in discussion of Integra's guidance today will therefore reflect our expectations for continuing operations. For informational purposes, we have published unaudited reconciliations of our historical financial results for continuing operations for the years 2012 through 2014 and for the quarters of 2014 and the first half of 2015. These reconciliations can be found on our website in the same location as the earnings call presentation, titled Historical Financial Results Continuing Operations. As a reminder, our second quarter 2015 financial results include the performance of our Spine business and are comparable to the information and guidance for our business and operations as we discussed on our first-quarter earnings call in April. And now I will turn the call over to Pete.
Pete Arduini: Thank you Angela and good morning everyone. Turning to slide 4 in the deck, before Glenn provides details of our financial results, I'd like to comment on a few of the highlights from the second quarter. Our reported sales increased 5.5% over the prior year to $244.1 million and we marked our third consecutive quarter with organic growth over 5%. Adjusting our second quarter results to exclude Spine on a continuing operations basis, our organic sales growth was 7.1%. In fact, our first-half organic sales growth without Spine was roughly 8% which positions us for a more sustainable quarterly progression through the second half of the year, enabling 6% organic growth for the full year. In the second quarter, we experienced strong growth in both specialty surgical solutions and orthopedics and tissue technologies. Regenerative product sales including dural repair, open wound and nerve were again in the primary drivers of organic growth. Post spin, with the inclusion of TEI, our higher-margin regenerative product portfolio is expected to comprise about 40% of our total company revenues. This is a fundamental shift in the composition of Integra's product portfolio towards biologics and regenerative technologies versus a larger mix of medical supplies. International sales increased 17% in the quarter on a constant currency basis, driven by growth in Europe and China and reflects both the sales channel expansion from MicroFrance's base of business in Europe and our commercial infrastructure investments made over the past few years. Below the top line, our profitability margins in the second quarter once again improved significantly versus the prior year and our adjusted earnings and cash flow conversion remain strong. Please turn to slide 5 in the deck where I will review some of the second quarter's business accomplishments relative to our long-term strategy. Last month, we announced the acquisition of TEI which adds high-margin products to our portfolio, increases our commercial reach and brings the opportunity to expand our regenerative technologies into adjacent markets of plastic and reconstructive surgery. Importantly, TEI will bring the resources and commercial presence we will require for the 2016 launch of our Integra DFU product. In addition, with the completion of the spinoff of SeaSpine, we're able to invest more in the two divisional structure, particularly in R&D and channel expansion. We're realizing the benefits of last year's efforts to consolidate facilities, as savings from the Burlington, Massachusetts and Andover, England facility closures are now contributing to profit margins. In addition, we're moving forward with our other 2015 priorities. A simplified and more efficient organizational structure, focused investments in our domestic and international commercial channels, the production of commercial products in our new state-of-the-art college and manufacturing center and process optimization enabled by our common ERP system. Finally, with the spinoff of SeaSpine complete, we're focused on integrating the TEI team into our orthopedics and tissue technology segments. The TEI acquisition also enables us to gain knowledge and expertise in the outpatient DFU market, reducing risk for the commercialization of our DFU product. The results from our Integra DFU clinical trial have been accepted by an important peer-reviewed wound journal. We look forward to sharing more information with you in the near future as additional details become available on the specifics of the journal and the month of publication. We continue to expect FDA approval of the PMA supplement at or near the end of 2015. Now I will turn the call over to Glenn to provide some more detailed review of our financial results and update our 2015 outlook. Glenn?
Glenn Coleman: Thanks, Pete and good morning everyone. Second quarter sales of $244.1 million or 5.5% growth over the prior year, came in at the higher end of the guidance range we provided on our first-quarter earnings call. Our organic sales growth in the second quarter was 5.1%, in line with our guidance. In the second quarter, our adjusted EBITDA margin was 20.7%, an improvement of 190 basis points over the prior-year second quarter. We also delivered operating cash flow in the second quarter of $18.1 million, resulting in a free cash flow conversion for the trailing 12 months of 54%. Overall, I would characterize the second quarter financial results as slightly better than the guidance we provide in April and we're on track to have a strong year in 2015. Before discussing the financial results in more detail, I'd like to draw your attention to slide 3 which provides a note regarding the reporting of our continuing operations results and non-GAAP financial measures. Now, moving on to our segment revenue performance in the second quarter, please refer to slide 6. Sales in our specialty surgical solutions segment were $146.7 million in the second quarter of 2015, up 6.7% from the second quarter of 2014 and reflect the increased demand for our products in both the U.S. and international markets. Global sales of our dural repair products increased in line with the overall segment, reflecting stable utilization of our products. Precision tools and instrument sales increased low single digits, excluding MicroFrance. Higher sales in surgical instruments and cranial stabilization drove the majority of this increase. MicroFrance is performing right in line with our expectations and is expanding our reach in markets outside the U.S.. Sales in neural critical care and tissue ablation together were up slightly on a constant currency basis. Given the strong performance in the first half of the year, we're raising the low end of the sales guidance by 2 points and now expect sales to increase 4% to 6% for the full year. Moving to slide 7, sales in the orthopedics and tissue technologies segment were $63.8 million, an increase of 10.1% over the prior-year second quarter. Regenerative technologies, the largest franchise in the segment, led the overall growth, increasing in the high teens. Strong demand in the U.S. for our broad portfolio of skin, wound and nerve products drove the increase versus the prior year. Upper extremities also posted another strong quarter with double-digit growth. Increasing adoption of our shoulder and new wrist arthroplasty products drove the improvement. Sales in lower extremities are roughly flat in the quarter. We're optimistic that investments we're making in this business, including the addition of sales reps added in the first half of the year, will improve the performance of this franchise and bolster growth in future quarters. During the second quarter, we completed the transition of the Metasurg products to our direct sales channel and look for increasing contribution from these new product lines. As mentioned earlier, we also closed the TEI acquisition on July 17 and are now including this acquisition in our new guidance for this segment. For the full year 2015, we're now forecasting growth in the orthopedics and tissue technologies segment to be 20% to 24% on a continuing operations basis, reflecting the addition of revenue from the TEI acquisition and the SeaSpine supply agreements. Wrapping up my comments on second quarter revenues, please turn to slide 8. Sales in the Spine segment were down 6.5% in the second quarter to $33.5 million, but showed a sequential improvement of 4% from the first quarter. Both orthobiologics and international Spine sales grew year over year, but were more than offset by hardware declines in the U.S.. SeaSpine reported their revenue this morning and will report their full second quarter results at a later date. Therefore, we're no longer providing guidance for the Spine business. Let me now walk through the new total 2015 revenue guidance on a continuing operations basis and the changes we're making since our April 30 earnings call shown on slide 9. We removed the full year revenue contribution expected from the Spine business, net of the $5 million to $7 million additional revenue we expect to receive from the SeaSpine supply agreements; added our expectations for TEI sales; and reduced the headwind we expect from foreign currency exchange. These changes bring us to a new full year 2015 revenue guidance range of $870 million to $885 million. This revised guidance range reflects no change in our base business from the guidance we provided in April. Slide 10 provides a bridge from our 2014 revenue from continuing operations to our new guidance for 2015. Organic growth on a full year basis is now expected to be around 6%, about 1 point higher than our previous guidance. Overall, our topline growth excluding currency is now expected to be between 12% and 14% on a continuing operations basis. For the third quarter of 2015, we're expecting revenues to be in a range of $222 million to $228 million which reflects roughly flat sequential growth from our base businesses plus the incremental contribution from the TEI acquisition in the quarter. Organic growth on a year-over-year basis is expected to be in between the range of 4% to 6% in the third quarter. Based on the recent currency rates, we expect an FX headwind of between $5 million and $6 million. That wraps up our revenue discussion and guidance. I will now discuss our second quarter results on the rest of the income statement. And for that, please turn to slide 11. Adjusted gross margin increased 140 basis points to 67.7% versus the prior-year second quarter. The increase in gross margin percentage resulted primarily from an increase in sales of higher-margin regenerative products and improvements in utilization of manufacturing capacity, as well as optimization efforts. Moving to operating expenses, R&D in the second quarter was essentially flat with the prior-year quarter, but increased sequentially by $1.3 million and comprised 5.7% of revenue. Reported SG&A expenses increased over the prior year, mainly due to incremental cost to support the spinoff of our Spine business, recent acquisitions and costs associated with our U.S. and international commercial expansion plans. Adjusted SG&A expenses in the second quarter of 2015 decreased 50 basis points as a percentage of revenue, due to better leverage of our cost base. In the second quarter, our adjusted EBITDA margin was 20.7%, up 190 basis points over the prior-year quarter. Turning to slide 12, our cash flow from operations was $18.1 million and our free cash flow conversion was 54% on a trailing 12-month basis, both showing significant improvement from the prior year. The cash flow increase versus the second quarter of 2014 was largely due to a lower use of cash for working capital. This result was achieved despite the cash outlays we made associated with the SeaSpine spinoff in the second quarter. To wrap up our discussion on the second quarter, I will cover just a few of the highlights from our results from continuing operations shown on slide 13. Our sales in the second quarter were approximately $212.1 million, representing organic growth of 7.1% over the prior-year second quarter. Our adjusted EBITDA margin on a continuing operations basis for the second quarter was 22.4% which reflects an improvement of 170 basis points resulting from the removal of the Spine business. Finally, adjusted earnings per share from continuing operations was $0.74, up $0.13 or 21.5% from the prior year. Let me now turn to our outlook for the full year 2015 shown on slide 14 on a continuing operations basis. We now expect GAAP gross margin to be in a range between 63.5% and 64% and adjusted gross margin to be between 67.5% and 68%. The 150 to 200 basis-point improvement we expect to see versus 2014's result is driven by the benefits of product mix, accretion expected from the TEI acquisition and the savings from previously implemented optimization plans. We expect 2015 adjusted EBITDA margin to increase about 100 basis points versus 2014, amounting to 22.5% to 23%. This range is up about 100 basis points from our prior guidance of 21.3% to 22.3% and reflects a similar year-over-year profitability increase. Moving to earnings per share, turn to slide 15 which bridges our previous guidance for earnings per share from April to the new guidance we're providing today for 2015 continuing operations. In our presentation on May 26, we indicated that the removal of the Spine business would have the effect of reducing adjusted earnings per share by about $0.20 for 2015. This is consistent with our guidance today. In addition, we expect the incremental contribution from the TEI acquisition, net of the effects of any financing event that we expect to occur during the second half of the year, to be neutral to slightly accretive to 2015 earnings. Our new 2015 adjusted earnings per share guidance is $3 to $3.10, up 8% to 11% versus prior year. We would like to emphasize that our expectations for the base business and the reduction from the SeaSpine spinoff remain unchanged from our April guidance call. Looking at the third quarter, we expect adjusted earnings per share of $0.72 to $0.76, roughly flat to the second quarter's $0.74 per share from continuing operations. In 2014, revenue climbed $21.6 million from the third quarter to the fourth quarter and adjusted earnings per share were up $0.21 sequentially. While we expect fourth-quarter revenue and profits to grow substantially from the third quarter, we expect them to be at a more modest ramp. As a result, we expect the organic sales growth in the fourth quarter to be the lowest of the year. I want to underscore that our full year guidance for 6% organic revenue growth and double-digit adjusted earnings per share growth excluding currency for the full year would put us in the range of our long-term financial targets. With those final comments, I will now turn the call back over to Pete.
Pete Arduini: Thanks, Glenn. With the first half of 2015 now behind us, we're pleased with the significant progress that we've made toward reaching our full year objectives. On slide 16, we provide an update to our key priorities for the year. We completed the spinoff of SeaSpine this month ahead of schedule and I'd like to acknowledge all of the work that the teams of both at Integra and SeaSpine did to make this happen. Last week, we announced the closing of the TEI acquisition. The addition of TEI exemplifies our M&A strategy. First, the acquisition immediately expands our commercial organization and key focus areas. Two, TEI adds a differentiated technology platform and a portfolio of established, high-margin regenerative products which we can build upon. And three, the deal enables increased scale in burn and wound markets as well as adjacent markets in plastic and reconstructive surgery. The complementary nature of TEI's regenerative product technology and the addition of their commercial sales capabilities, will fuel our product pipeline and accelerate our long-term growth, positioning Integra to be a leader in wound care and regenerative space. Looking forward, TEI brings a product line with gross margin substantially above the company average, with strong cash generation and is positioned to grow revenue in the high single digits. As I mentioned earlier, our DFU product is on track for a mid-2016 launch and our capabilities were enhanced with the addition of TEI. For example, we gained an established sales team, marketing and reimbursement talent, as well as a portfolio of products for the outpatient DFU setting with existing reimbursement. Organically, we continue to make progress with our expansion of our commercial infrastructure. In China, we're starting to see benefits from new distributors added earlier this year. Domestically, we're excited about the addition of 20 new commercial resources in our orthopedics and tissue technology division, as well as investments in specialty surgical solutions. The R&D focus is beginning to generate a multiyear pipeline, with the two-piece ankle being our biggest upcoming launch expected to begin a controlled market release at the end of this year. Finally, we're still expanding our enterprise sales organization which, given our scale in neurosurgery, precision tools and instruments and now wound care and tissue repair, is positioning Integra to offer large hospital networks and IDNs a very competitive product offering and broad contracting capabilities. Before I close, I would like to comment on our long-term growth targets. As most of you will recall, we set five-year targets in late 2012 and updated them in mid-2014. Clearly, we have made significant progress against our three-pronged strategy to improve execution, optimize the company and accelerate topline growth while also increasing profitability. Given the recent changes in our business and financial profile, one of the near-term priorities for the leadership team is to evaluate and determine a path and targets for Integra's next phase of growth. We look forward to providing updated targets at our Investor Day meeting to be held on November 12 in New York City. We're also excited about the opportunity to share with you the organic R&D pipeline that we've been the developing over the last few years and to discuss our evolution to a more regenerative technology-focused company. With that operator, we would like to open up the line for questions. In an effort to accommodate a larger number of calls, we ask you limit yourself to one question and one follow-up, after which you may rejoin the queue. Operator, you can open the line now.
Operator: [Operator Instructions]. We will take our first question from Matthew O'Brien with Piper Jaffray.
Matthew O'Brien: I was hoping to start off a little bit on the dural repair side. In looking at the comparison from last year, I know it was fairly steep and I think the growth rate in the quarter was a little bit slower than I was expecting. I'm just curious if that was more of a comp issue, if it was market related or if you're seeing any competitive pressure.
Pete Arduini: Matt, I will comment. I can have Glenn add some other color as well. I think pretty much in line with where we thought it was going to be. If you recall back in the first quarter when we did the call, we talked about we had a quite a high growth rate quarter of the year. We saw that moderating some and again, put moderating in perspective -- above market growth, market growing at 2% to 4%. At that point in time, we were growing significantly higher in the high teens. And so yes, dural repair, we still feel like we're in a very good position to be growing and taking share but growing more at a slightly above market level at this point in time.
Glenn Coleman: I would had just a couple things to Pete's comments. Our dural repair franchise this quarter grew in line with the overall segment, so it's in that mid to even higher single-digit range. DuraGen had a really strong quarter in the high single digits, DuraSeal had a record quarter for us in terms of sales volumes. So the overall numbers that we see were pretty positive and the fact gave us the confidence to raise the low end of our guidance range for specialty surgical for the year. So we see this as a franchise that is continuing to outperform the market growth rates that are out there, so we're pretty pleased with the performance overall.
Matthew O'Brien: And as my follow-up on the foot and ankle side of things, I know it's a smaller piece of the business at this point, but it is a very rapid growth area. Can you talk about the investments that I think you said you just made there in the first half and then is it really -- the need for your total ankle system to get that business really moving in line with the mid-teens growth we're seeing out of that category?
Pete Arduini: Look, I would say if you look at our upper, we had a very strong performance in upper. A lot of that was driven by new products, so shoulder, wrist, some of the products that we have coming out within the hand. If you look at lower, we haven't had as big of a launch of new products. We've had some refreshing of established products, but we haven't clearly had some bigger launches which we're planning to come forward. And to your point, the ankle is one of those that will move the needle quite a bit mainly because of a larger ASP and we believe it will be a very competitive product. So yes, that will be an item to bring in we believe new customers as well as really start driving some growth within the segment. That being said, we're really investing to refresh across the board our lower forefoot mid and hind foot portfolio. We're starting to see some forefoot growth associated with the acquisition of Metasurg and some of the work that we've done. But I would say mid and hind foot we're not where we need to be yet. We've also added some additional resources and we think that the added focus particularly in the lower area's going to pay benefits in the subsequent quarters here coming forward.
Glenn Coleman: And just to add to Pete's comments, as I put in my prepared remarks, we just completed this transition of the products to our direct sales force and our direct sales channel for Metasurg. So we think that will be an incremental growth in the second half of the year moving forward as well. So I think Metasurg will be a more important contributor to our business moving forward.
Operator: Our next question comes from Chris Pasquale with JPMorgan.
Chris Pasquale: Just follow up on the question about the ankle, can you just give us an update on the timing there and is that the thing where you're going to be ready to hit the ground running early in the launch or is it going to be a gradual process?
Pete Arduini: So Chris, to my point when I commented about a controlled market release at the end of this year, controlled market release for us will be a smaller set of users similar to how we did with our shoulder. I would say think about the ramp that way. We have a pretty strict discipline about how we think about a smaller set of users, make sure we've got manufacturing supply, all of the instruments that are fully meeting a broader spectrum of users. And then will start to ramp up. And so yes, I think through Q1 of next year, it's still a controlled market. Things go well into Q2, Q3, we start really ramping up a significant amount of the new sets and training of the reps.
Chris Pasquale: On the upper side, do you see opportunities as we go through some of these mergers with the larger players to really boost that business and pick up some distribution?
Pete Arduini: I think the short answer is yes. I would say we feel pretty good about where we're positioned with our upper portfolio right now. As I mentioned, the product like the wrist is actually doing extremely well. It's a niche product for us, but it also brings in interesting new surgeons into the fold that may not have looked at us before. Our shoulder, we believe we've really hit it with the design now, we've taken the appropriate time, we've tweaked a lot of instruments. And now really in this quarter going into third quarter's where we're ramping up capital on the new sets. And so we expect to see some broader expansion and with that is we will need more distribution. And as you know, that is a distributor based structure, so where we can bring new distribution in because they're left without a home or they see a better opportunity with Integra, we're keenly focused on that with changes in the market. And we do believe that it's not just about our current product. It's really about our vision and our pipeline for that product. And we believe between glenoid solutions as well as technologies such as pyrocarbon, we're going to have a pretty robust future pipeline for the shoulder product as well. So I think in the long run, yes we will be able to pick up some high-quality distribution to help us grow that business.
Operator: Our next question comes from Imron Zafar with Jefferies.
Imron Zafar: I wanted to ask about, first about TEI. Looks like your u[dated guidance implies that sales for that operation are going to be perhaps down slightly or flattish for the year versus 2014. I just wonder why, is that factoring some near-term disruption, is that just the lumpiness of the business? If you could just clarify that, that would be helpful.
Pete Arduini: Imron, let me back up and say we're not signaling it is going be down. Let me maybe give a little bit more color on how we think about the TEI business and just clarify some numbers. In 2013, that business generated about $65 million in overall revenues. In 2014, it was down slightly, about 2% roughly, about $63.5 million and we see that in 2015 performing at mid to high single digits. In fact, first half of 2015 did a little bit better than that. The downswing that they had in 2014 really was associated with a couple of specific internal items. As you saw, we denoted that we purchased TEI Bioscience TEI and TEI Medical. Prior to 2104, it was one TEI organization and that's when some of the changes were taking place splitting the organization for focus on wound separately. And some of those disruptions clearly had an impact on the market. I also think with some of the ramp-up of the outpatient reimbursement work took a little bit longer for them. That's all in place now, but that's really why some of the disruption took place in 2014. But no, we feel quite good. Again as I mentioned, first half is doing a little bit better than the mid to high single digits growth and we would expect this year to be on track through mid to high single digits growth for us in our hands. Glenn, you might want to add some other color.
Glenn Coleman: One other thing to consider, just keep in mind we closed the acquisition July 17, so essentially we have a little over five months of revenue in our guidance.
Imron Zafar: Right. And then Glenn, I just wonder if you're willing at this point to be a little bit more specific on what type of accretion we should expect from the deal in 2016 in terms of earnings?
Glenn Coleman: Again, we're not going to provide any color on 2016 yet. We will give that more as we get closer to the investor day relative to our thinking on some of that. But again, what we've said is we expect the deal to be slightly accretive in the first 12 months post close. And for this year again, we expect it to be neutral to slightly accretive including the effects of any financing that we're thinking about in the second half of the year. And that's the way we think about the TEI accretion for both 2015 and the first 12 months.
Imron Zafar: Okay and then just lastly on the DFU launch, I know you said you don't want to talk about 2016 guidance specifically. But just directionally and quarter-to-quarter cadence, can you just talk about what the margin impact is going to be of that launch in terms of ramping up supply ahead of the launch and initial launch in the back half in 2016?
Pete Arduini: We're not ready to give specifics on it, but again just to remind you, we feel quite good about a launch commencing in mid-2016. We will now have a sales force already in place with TEI that's already selling an already approved product that can be trained in advance. So once certain max even have approval come on, we can actually turn on certain parts of the country selectively as that's ready. Relative to a ramp-up, we don't necessarily see a significant ramp-up in product cost associated with getting the plant ready. And again, this comes back to the fact that yes, we will have a distinct product and packaging structure, but it's all leveraged under our common manufacturing piece that we have in our collagen manufacturing facility. So that's a little bit more color on it and I know there's a lot of interest in this area and this will be one of the broader topics we discuss at our investor day on November 12.
Operator: Jayson Bedford, Raymond James & Associates.
Jayson Bedford: Couple of questions, the regenerative medicine piece, you've had a couple quarters of high teens growth. Can you just give us a little bit more detail in terms of what's driving the strength there and what's changed over the last six to nine months?
Pete Arduini: Yes look, I will give some comments on it. So again, when we referred to regenerative, it is across both specialty surgical and orthopedics and tissue technology. So if you think about DuraSeal regenerative products, if you think about in our orthopedic and tissue area, our nerve products, our tendon repair product as well as our broad spectrum of skin products that can be used in a host of areas. I think in short, new products and increased focus have had the biggest impact. So if you think about the impacts of DuraSeal coming new product into the portfolio and then products such as DuraGen Secure and having a refresh discussion point on dural repair with multiple products, that impact has clearly had a very positive impact growing our overall dural repair franchise. Likewise on the wound and skin side, having a product like our thin skin product that is really giving us I think a real viable solution in the second degree burn market, coupled with some different versions in different sizes within our traditional market area, it's given again more discussion points and brought new clinicians into the fold. That being said, on both sides of that, both domestically and internationally, we've added more resources. Some of the money that we were spending on plants and quality items and such, we've taken some of that as we commented on invested that back into increase channel expansion. You may recall we talked about 70 plus resources this year. A large portion of those have already been placed internationally and the majority of those have then stepped into OTT roles primarily selling our regenerative products.
Jayson Bedford: Okay and I wasn't specifically referring to the OTT bucket which is the faster growing bucket at least over the first couple of quarters. And it sounds like that's largely the introduction of thin skin and the additional resources. Is that fair?
Pete Arduini: Yes, it's thin skin, it's also increased better supply within the whole pipeline. I think that consistency has been a really important part of it which is driving more confidence for our sales team and also customers. And then third is definitely an increase within channel both direct selling reps and what we call specialists that are deep regenerative experts that can help convert customers.
Jayson Bedford: And just as a quick follow-up, neuro critical care tissue ablation obviously slowed a bit here. What are your options to improve growth in that franchise?
Pete Arduini: Jayson, I think it's right in line with what we expected. I think the tissue ablation business is about where we had thought it would be. There are couple of components to that, the actual disposables in the capital. And we're seeing good ongoing lift within the capital which means that the disposable business will follow in due time. I think on the monitoring side of things, it's following the curve that we expected. If you remember we came out with new monitors a few years ago. It's purely a replacement cycle -- we still have quite a few to replace at good profit, but it's not anything to the same level it was at the end of last year coming into Q1. So we're seeing a slowdown off the curve on the monitors. But I would expect that our tissue ablation products as we come into the second half of the year will continue to perform in the range that we had thought. So pretty much in line but we thought would play out.
Operator: Our next question comes from Larry Biegelsen with Wells Fargo.
Larry Biegelsen: Let me start with the guidance for the second half. Organic growth I think you guided to 4% to 6% in Q3. The implied organic growth based on what you did in the first half, the implied guidance for Q4 by our math is about 3%. So I'm just curious why the second-half organic guidance is below the 5% to 7% goal you had. It looks like it's being driven by specialty surgery, it looks like the implied second-half guidance for that is relatively flat. So Glenn, I don't know if my math is correct or close, but if you can talk a little bit about that, that would be helpful. Thanks.
Glenn Coleman: Your math is right, it's how we're thinking about it as well. As I mentioned, 4% to 6% organic growth for Q3, something a little bit south of that in Q4, so agree with your math. We had mentioned earlier in the year that we expected to have a more linear year in 2015 versus 2014. And so we're starting to see that in the second half of the year. I would remind you that the second half versus the first half we're seeing some nice growth from a half-to-half perspective, but if you remember last year in the fourth quarter, we had a record quarter. We had our largest quarter ever, had a number of tenders internationally that pushed out from the second and third quarter into the fourth quarter. Had some new product launches that drove a lot of the revenue growth. So coming off a tough comparable quarter in Q4 2014 to 2015 is what's driving that, but again I would remind you that for the full year, we're raising our organic growth rate to 6% which is right in line with the midpoint of our long-term target. So we feel really good about it. It's just better linearity in 2015 versus 2014.
Larry Biegelsen: Pete, if you're on a decelerated trend in 2015 here, what gives you the confidence you can do the 5% to 7% in 2016?
Pete Arduini: I think Larry, when we take a look on the outlook, it really comes down to the investments that we've made within channel and it comes with the new products that are coming out. I look at it and our shoulder continued to accelerate, our skin portfolio beginning to accelerate. The synergies that we believe we're going to see and selling opportunity's between TEI and the Integra portfolio. Just like we saw with DuraSeal and DuraGen. A lot of the DuraGen growth is driven by having a good discussion with the DuraSeal user that may not be using DuraGen and that's created some interesting growth. Our confidence that we can continue to grow in that range I believe is quite high associated with the things we have been doing, increase channel focus and new products.
Glenn Coleman: So I just think Q4 was an abnormality and if you remember back, we had our Q3 discussions last year. Our Q3 was down, it was a little bit lighter than we had expected, there were some big tenders. And it really did all push within again, as Glenn said, beyond since I've been here the highest number that we've ever had within a given quarter. So I view this as a good thing. I view that our predictability and ability to achieve our second half, we've got good line insight to that to what we need to do. But again, that's a different point in our longer-term outlook to say can we go 5% to 7% which I feel quite strongly about based on our pipeline and our channel work that we've implemented.
Larry Biegelsen: Last for me, I apologize if I missed this, did you give an update on the timing with the DFU publication? Thanks for taking the questions.
Pete Arduini: I gave some highlights to it, Larry, but we didn't give specifics. We announced that we've been accepted into a well-known wound journal and that hopefully here in the next few months, we will be able to give some more specifics, some of the nuances of how that plays out. We will give obviously details of the journal and the month of publication. And then we're hoping that we can also then give some more information of when there might actually be broader public presentation related to the data as well. But we feel we're on track to what we communicated for. At this point in time, my estimations are like a late Q3 window similar to what we said in the past.
Operator: [Operator Instructions]. Our next question comes from Steven Lichtman with Oppenheimer & company.
Steven Lichtman: Pete, on international you sounded encouraged on acceleration there. Can you talk a little bit more your efforts there, where are you on the buildout you've been looking to do? You mentioned China, what are the other key areas you're looking at as significant opportunities for you guys?
Pete Arduini: If you were to say international as a whole is where your buildout, we're probably about halfway there. So there's still a lot of territory to reach and to move towards. But the areas that we have focused on such as China, some of our work that we've put into Japan. And I would also say in Western Europe, again not traditionally viewed as a growth market but based on our share position and particular product lines, we've got lots of area to grow. So the past few years in China is probably a very good example of where we actually changed our whole distribution structure from one common distributor to actually having a distribution partner who helps manage our logistics, to separate selling distributor entities that are flattened out, to our own commercial office and registration capabilities in China. And then new products that have been registered that are coming out and the result is we're starting to see some very good higher double-digit returns out of those markets. At the same time, just to give a different view, say in Western Europe with the acquisition of MicroFrance, it gave us enough of a platform where we've never had direct precision tools and instruments capabilities to now go direct in certain markets. And we're starting to see some of the benefits of that and the ability not only to sell the products that we acquired, but bring our legacy products into that portfolio that were never distributed there. So I think some good progress there. I would say Latin America, we're just starting to get some broader traction, taking a look at how we maximize our distributor base, how we bring more products into the portfolio. We actually have some new registrations that are beginning to hit and new things coming out. And I think Dan and the team have done a nice job of focusing. We really focused on key neuro surgical products such as CU.S.A and our DuraGen, DuraSeal portfolio. And we haven't necessarily had the largest focus on our regenerative skin portfolio over the years. Some of that's related to challenges with registration, but we've made some good progress there. We put some direct capabilities in certain markets and also expanded our distributor capabilities there. So those are the items that we put in place and it's been a little bit lumpy over the last few years. I we suspect that will still have a little bit of that on a go forward basis, but the trend's definitely upward and a positive direction.
Steven Lichtman: Follow-up on another effort, enterprise selling, where are you in building that effort out? And any anecdotal feedback on how that's perhaps benefiting you or expected to benefit you?
Pete Arduini: Yes, so we're roughly about where we need to be from feet on the street now having regions in the United States. It's a U.S.-focused venture, so regions of the U.S. with experienced IDN and GPO sales executives that know how to call on the executive suite, know how to negotiate and bring together a broader deal for the company, we have the team in place now. Last year, we had a partial team, so we have a VA DOD leader and we have leaders now that interact with all the major GPOs and our major IDNs around the country. We have had some pretty nice wins. It's resulted first into some different better ways to think about our GPO relationships, but I would say we're now starting to see some bigger integrated delivery network offerings. And hopefully here over the second half we will be able to talk about some of the progress and potential successes that we've got coming there. But we see this as a really important ongoing capability for us in a world where there is a lot of companies that are gaining scale. Our ability to have scale and be quite relative in the businesses we play in such as skin and wound and specialty surgical and extremities and then where customer might want to look at a bundled offering or may want to take a look at a broader contract for a 10,15 hospital system, we will have as good capabilities as any of the larger companies and that's one of the goals that we laid out for ourselves.
Operator: It appears there are no further questions at this time. I would like to turn the conference back to Peter Arduini for any closing or additional remarks.
Pete Arduini: Thank you all for attending the call and your questions today. I would also like to take a couple of minutes to reiterate a couple points from the call. First, with the first half of 2015 behind us, we've completed both the successful spinoff of the Spine business and the acquisition of TEI and we're head of our original financial targets and on track to our key priorities. Secondly, on a continuing operations basis that is excluding Spine, our organic growth rate has been at or above our long-term targets for three quarters now and is on track for 6% in 2015. We expect our increase in investments in the second half of 2015 in areas such as DFU and our R&D pipeline which we believe will drive topline growth, help us achieve scale and also set us up for success in 2016. And lastly, we're reiterating our full year 2015 financial expectations on our base business and have provided updated financial guidance on a continuing operations basis toward 2015. If you look, the company is at a really important inflection point in our strategy and we're very pleased with our progress. Thanks again for listening and we look forward to speaking with all of you in the near future.
Glenn Coleman: Thank you, good day.